Operator: Good morning, everyone. Thank you for holding, and welcome to the America's Car-Mart Fourth Quarter 2019 Conference Call. The topic of this call will be the earnings and operating results for the Company's fourth quarter for fiscal 2019. Before we begin, I would like to remind everyone that this call is being recorded, and will be available for replay for the next 30 days. The dial-in number and access information are included on last night's press release, which can be found on America's Car-Mart's website at www.car-mart.com. As you all know, some of management's comments today may include forward-looking statements which inherently involve risks and uncertainties that could cause actual results to differ materially from management's present view. These statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The Company cannot guarantee the accuracy of any forecast or estimate nor does it undertake any obligation to update such forward-looking statements. For more information regarding forward-looking information, please see Part 1 of the Company's Annual Report on Form 10-K for the fiscal year ended April 30, 2018, and its current and quarterly reports furnished to, or filed with, the Securities and Exchange Commission on Forms 8-K and 10-Q. Participating on the call this morning are Jeff Williams, the Company's President and Chief Executive Officer; and Vickie Judy, Chief Financial Officer. And now, I'd like to turn the call over to the Company's Chief Executive Officer, Jeff Williams.
Jeff Williams: Okay. Thank you for joining us, and thank you for your interest in America's Car-Mart. We had a good solid quarter with a 4.4% increase in revenue and a 2.9% increase in same-store sales, up against a strong fourth quarter last year. We are proud of the progress we're making. Our focus on the basics and more recently on customer experience is showing up in our results. All of the finance companies competing in our industry have good math and we have good math too, but we also look beyond the numbers and have a higher purpose in our work. We have the ability and a deep desire to see our customers and associates succeed and grow. We have a very unique and important role in the communities we serve and our values of integrity, respect, compassion and excellence drive the approach to our daily work which is showing up in our significantly lower credit losses. We know our purpose and have recently changed our mission statement to clarify our reply. Our vision is to be America's best auto sales and finance company in the eyes of our associates and customers, while improving the communities we serve. Again, we're proud of our results and we believe we're just getting started. I'm going to turn it over to Vickie to go over some numbers. Vickie?
Vickie Judy: Good morning, everyone. For the quarter overall revenues were $177 million with same-store revenues up 2.9%. This resulted from a 3.7% increase in sales and a 10.1% increase in interest income. Revenues from stores in the over 10 years of age category was up 2%, the 5 to 10 year category was up 3% to about $45 million and revenues for stores in the less than five years of age was up about 24% to $19 million. Although, sales volumes were basically flat for the quarter we feel a lot of good work was accomplished during the quarter and we knew that we were up against some higher volumes for last year's fourth quarter. We did complete the rollout of our online credit app at the very end of the fourth quarter and we are currently rolling out our digital pictures of our inventory during this first quarter of fiscal 2020. Our expectations are that both of those initiatives will have a positive impact as we move forward. Our average selling price increased to $11,305 or 3.5%, $383 compared to the prior year quarter and an increase of $159 sequentially. This increase results primarily from the increase in overall vehicle purchase costs, because of the high demand for vehicles in the used car market, especially in the market we serve, which in turn results in higher selling prices. We aren't anticipating overall purchase cost to change significantly in the near-term. We will be working hard to find the best vehicles, while balancing that with keeping the transaction affordable for our customer. At quarter end 20, or 14% of our dealerships were from zero to five years old 40, or 28% of them were from five to 10 years with the remaining 84 being 10 years old or older. Our overall productivity was 30.3 units per lot -- per month down from 31.1 compared to the prior year fourth quarter. Our 10-year plus lots produced 32.7 units sold per month per lot compared to 33.4 for the prior year quarter. Our lots in the 5 to 10 year category produced 28.6 compared to 28.5 for the prior year and the lots less than five years of age had productivity of 24.5 compared to 26.9 for the fourth quarter of last year. Our down payment percentage was up slightly to 8.2% compared to 8% for the prior year quarter. Collections as a percentage of average finance receivables was up 20 basis points to 16%, compared to 15.8% last quarter. The average originating contract term was 29.8 months compared to 30 for the prior year quarter and up from 29.4 months sequentially. Our weighted average contract term for the entire portfolio including modifications was 32.1 months at April 30, 2019, compared to 32.5 for the prior April. The weighted average age of the portfolio was basically flat at nine months. We will continue to focus on solid collections and term links as we move forward with providing our customers with superior service and helping them be successful in owning their vehicles. Interest income was up $1.9 million compared to the prior year quarter due to the $42.3 million increase in average finance receivables, over 90% of the increase, and then also due to our increase in the interest rate on our contracts to 16.5% from 15%, which began in May of 2016. The weighted average interest rate for all finance receivables at the end of the quarter was approximately 16.4%, up slightly from 16.3% last April. Our gross profit margin remained basically flat compared to the prior year quarter at 40.7% of sales and down from 41.5% sequentially. This is typical for a fourth quarter. We continue to stay focused on managing inventory and repair cost, while still battling the gross margin pressure as a result of the higher average selling price. Gross margin percentages are lower at a higher selling price. Our SG&A for the quarter was up $2.7 million or 18% of sales compared to 16.9% for the prior year quarter. The SG&A expenses for the fourth quarter of fiscal 2019 did include approximately $823,000 of additional stock compensations for performance-based stock options that are now expected to vest as a result of the improved net income performance. Excluding this charge, SG&A would have been 17.5% of sales for the fourth quarter. Although, we did not experience leveraging for the fourth quarter, we did leverage expenses for the full year and we've added approximately 4,500 customers since this time last year. We continue to be passionate about providing an excellent customer service experience and we'll continue to invest for the long term in our associates and our infrastructure to move it forward. We're always looking out at a 5 to 10-year horizon. For the current quarter, net charge-offs as a percentage of average finance receivables was 6.4%, down from 7.5% in the prior year fourth quarter. We've continued to improve both the frequency and the severity of losses compared to the prior year as we work to improve our deal structures and drive customer success. Improved collections, 20 basis points better, and higher recovery rates contributed to the decreased severity of losses. Recovery rates for the quarter were approximately 28% compared to 27% last quarter and 23% in the prior year quarter. The effective income tax rate was 20.5% for the fourth quarter of 2019 and 20.4% for the full fiscal year. There was $434,000 and $1.9 million of additional income tax benefits related to share-based compensation for the quarter and the year respectively. We expect our base effective tax rate to be approximately 24% going forward prior to any excess tax benefits from stock option exercises. At quarter end, our total debt was $153 million and we had over $53 million in additional availability under our revolving credit facility. Our current debt-to-equity ratio is 58.7% and our debt to finance receivables is 28.1%. Our interest expense increased $368,000 this quarter compared to last year's quarter, due to primarily to the increased interest rates. During the quarter we did repurchase 31,472 shares of our company for $2.5 million at an average of $79.12 per share. And since 2010, we have repurchased approximately 53% of our company for $224 million at an average price of $36 per share. We continue to have strong cash flows. For the year, we added $31.9 million in net finance receivables, repurchased $26.6 million of our common stock, funded $4 million in net CapEx and increased inventory by $3.9 million, a total of $66.4 million, with only a $600,000 increase in debt. Our primary focus will be to grow the business, invest in our associates, while managing strong cash on cash returns and continuing to repurchase shares opportunistically. Now, I'll turn it back to Jeff.
Jeff Williams: Okay. Thank you, Vickie. As stated in our press release, our hard work is showing up in the numbers, with the return on average assets of 10% and a return on average equity of 19.4% for the year. By focusing on the basics, we are creating real long-term value, and again we believe that in many ways we're just getting started. Communities are better when Car-Mart is there and we have an obligation to serve more customers as we move forward. And, once again, as Vickie just mentioned, we created $66 million in value this year, with no increase in debt. And we think that's pretty impressive. As mentioned in the press release, we have two new dealerships that we'll be opening in the next couple of weeks and we did plan to open a few more locations in fiscal 2020. Our primary focus in the shorter term is to continue to grow the customer count from existing dealerships and especially with our top performing General Managers to leverage their talents and at the same time grow our bids to allow us to add new dealerships outside of our current General Managers. We will grow at a pace that matches our ability to serve customers and our communities at the highest levels. We have a quarterly internal newsletter The Car-Mart Gazette and in this quarter's edition we have 27 associates celebrating their five-year anniversaries with the company and several associates hitting their 10-year, 15-year and 20-year anniversaries. It's humbling to know that we have so many associates who've dedicated their lives to helping others. As always, I'd like to thank all of our associates for their hard work and dedication to this effort. And again, thank you for your interest in Car-Mart. Now, we'll open it up for some questions. Operator?
Operator: Thank you. At this time, the participants will now answer questions from the callers. I would like to reiterate that my earlier comments regarding forward-looking statements apply to both participants’ prepared remarks and to anything that may come up during the Q&A. [Operator Instructions] And our first question comes from the line of John Murphy with Bank of America Merrill Lynch. Your line is now open.
John Murphy: Good morning, guys.
Jeff Williams: Good morning.
Vickie Judy: Good morning.
John Murphy: Just a first question. And Jeff you kind of alluded to this in your closing statements, when you think about the bench of GMs that you're developing, just curious if you think sort of that backlog of human capital as you unleash it, what kind of store growth you think you can have maybe in 2020? Or as sort of your thought process for the algorithm going out sort of mid-term? I mean, because it seems like that's probably the biggest gating factor and real investment you need to make in that GM.
Jeff Williams: Yes. Yes. And we're making some really good progress with that bench. We're not where we need to be yet, but our folks are doing some very good work, getting people ready to run dealerships in the future. And I still say that over the shorter-term most -- all of our dealerships have a lot of capacity to grow from our existing dealerships, so we're going to continue to focus on that. But to answer your question that bench is getting stronger as far as putting out a number of new store openings once that bench gets to where it needs to be. We don't have a specific number yet. We always want to grow at a rate where we're sure that customers are getting an excellent service out in the field. And we don't want to get ahead of ourselves, so but we will at some point over the next year be able to maybe be more specific as our bench grows.
Vickie Judy: And then John I would add, it's kind of a churn. They all mature at different times and there is of course some terminations in there that you've got to replace. And so that is -- I don't think there's going to be a huge flood of people all at once. It will kind of be a slow churn with four or five ready now and a few more the next month. And so I think it will be a little bit of a slower churn.
John Murphy: Okay. And then maybe a second question and thinking about growth here. Your digital efforts in what you're doing online as far as imaging potentially maybe pulling some of the transaction online or at least some of the credit scoring. Just curious what kind of leverage you think you can get out of your existing store base. And is that the kind of thing where you could get a five-year old store to where sort of you are in the maturity curve of these 10-plus-year old stores maybe more quickly or these 10-plus-year old stores have some juice in them as you leverage your digital efforts?
Jeff Williams: We think there's a lot of upside for us with our efforts digitally. It's very new. This is just within the last couple of weeks that we got everybody out there on the online credit app. And then the pictures are coming along next. So, we're brand new into this, but I think everybody here is very optimistic that this is going to expand the number of customers, we have a chance to deal with, and we are dead set on getting that customer experience exactly where it needs to be for our consumers. But we do think that the credit app and the pictures is going to open up more market to us and what we did, and we're going to focus on that customer experience, and believe that this is -- both of these efforts are a real positive for our business going forward.
John Murphy: Okay. But it's early days to really give us any kind of metrics? Or thoughts what kind of leverage you might get out of that per store?
Jeff Williams: Yes. I think that we need another quarter. I think with our next quarter call, we'll have more information. It's just so new right now.
John Murphy: Okay. And then just lastly your credit metrics have improved, and it sounds like your consumer is getting a little bit healthier. How much do you kind of owe the improvement in your credit metrics to your internal ops? And how much do you sort of owe to the consumer getting healthier? And if it's the consumer is this something that is sustainable, or is this sort of a benefit from the tax mean that the better tax position that you're in this year versus last year?
Jeff Williams: I think we're still convinced that most of our improvements have been from internal improvements with our processes, our people, our training, our basic blocking and tackling, running the play, putting our boots on, punching the clock, accountability, visibility. We think that almost all of our improvements are internal. Now the consumer has maybe a little more money in the pocket these days than they did a year ago, but competition is still quite high out there. So we think that we're gaining market share and getting better internally and that is the main driver of the increased performance on the credit side.
John Murphy: Great. Thank you very much.
Operator: Thank you. And our next question comes from the line of John Rowan with Janney. Your line is now open.
John Rowan: Good morning.
Vickie Judy: Good morning.
John Rowan: I just want to address the units -- well, I've a few questions, but units per month came down 3% year-over-year. I know you're going up against a tough comp but was there anything else in there that could have weighed on that, weather related? Something that's kind of non-recurring to where we can explain the decline in units per month per dealership.
Jeff Williams: Yeah. I would say there's a couple of things, John. The tax refund season this year was different. I guess they're all different but this was different in respect that it really started with RALs in early January. And then it spread all the way into March as far as the timing of refunds there was a lot of confusion, a lot of headlines about withholding, and refund amounts and what those amounts might be. At the end of the entire time period, we ended up being up just a little bit on average refunds but there was a lot of noise in place and I think that may have had a negative effect on customers pulling the trigger on bigger ticket purchases for our business. It did show up nicely with our collections. So it didn't affect customers as far as making payments or getting ahead with payments. But I think as people made big ticket decisions with those unknowns that were hanging out there for a few months during tax time I think that did have some effect. I do think also that maybe in a few spots, we were a little short on the right inventory not everywhere. But I think that as we look back we could have been a little better in certain areas with our inventory quantity and the mix of units out there. But all-in-all this -- the efforts we've got in place, we feel pretty good about the prospects of us continuing to grow that top-line and get more productivity out of our existing leadership base.
John Rowan: Okay. And then as you said your durations come down. It's up a tiny bit sequentially but in general the duration is down the car type or the car prices up, but down payment is up. What type of payment change -- and the rate's up, so what type of payment changes are the consumers seeing? Obviously they have more money in their pockets so they're able to afford that, but I would assume that when you pull that all together there's been a somewhat substantial increase in the average payment that your consumer is making?
Jeff Williams: No, and actually it's not. We're at probably about $10 a month. It's not much at all, a couple of dollars a week. It's -- with a 32-month term, it's been going down a little bit. It's not as big of an effect as you might see with the higher ticket longer term offering.
John Rowan: Okay. And then just to -- I don't want to say reiterate, but you talked about a point that I know investors care about here. You just reported relatively, what I would say is a beat on the bottom line. And your stock is off 15% right? I know you like share repurchases as a means of returning capital to shareholders, but the volume is relatively thin in Car-Mart stock. You generate a lot of free cash flow. Is there any thought of maybe shifting capital returns to a dividend, so we can keep liquidity more reasonable in the stock and then still return capital to shareholders but do it without impeding the volume?
Jeff Williams: Yeah. That's something that we have to put quite a bit of thought into. And no news there at this point. We've historically felt liked the share repurchases rewarded, the very long-term shareholders, which is why we're here. So just to -- we don't have any comment on that.
John Rowan: All right. Thank you.
Jeff Williams: Thank you.
Operator: Thanks. And our next question comes from the line of Kyle Joseph with Jefferies. Your line is now open.
Kyle Joseph: Hey, good morning guys and thanks for taking my questions. I just wanted to discuss same-store sales a little bit. I know we talked about tougher comps and some tax refund impacts; can you just give us an update on the competitive environment and any changes you've seen there?
Jeff Williams: Well, there's still a lot of money out there in the subprime and deep subprime auto space. So we're not seeing any real relief from the competitive side and anytime we pick up some additional volumes that's taken some market share from somebody else. We do think that this focus on customer experience and our digital efforts are going to look good for us in the marketplace. But I would say the competition is quite intense on the lending side right now.
Kyle Joseph: Got it. And then used car prices particularly in your market you said have been strong and it sounds like you don't expect that to change in the near term. At what point -- looking out, do we get to a point where there is a greater supply of cars that you guys target?
Jeff Williams: Well, you know we're selling an average car at 10 years old and I think it was 2008 2009, 2010, 2011 where that SAAR rate went down to 10 and then inched up back up from there. So, we're kind of right in the teeth of the lower cars in that 10-year bucket. So, we've been there before we deal with what we get. And maybe from this point forward, we'll get a little bit of a relief, at least moving in the right direction. So, -- but the supply of cars in the markets that we deal in and then the car that's -- have an age and mileage that's affordable for our customer is in high demand and we don't expect that to change much. We just have to get better with our inventory management and procurement efforts.
Kyle Joseph: That's helpful and then one last one for me. Just looking at your net interest margin it sounds like yields on the portfolio, it sounds like the changes that were implemented a few years ago are almost fully in there. So, in terms of your yield outlook, it sounds like it should be fairly stable. But in terms of your cost of funds, obviously, you guys have -- are funded with the bank line which is floating. Given the forward curve can you just talk about your expectations for your net interest margin going forward?
Vickie Judy: Sure. Yes, you're correct. Our change in that interest rate is about fully baked into our portfolio. So, there won't be a lot of upside there. You have to remember that we don't really work off a true net interest margin since we only have $153 million in debt on $550 million of receivables. So, -- but there will be some increased interest cost certainly going forward.
Jeff Williams: Most of our debt is tied to that 30-day LIBOR. So, we're at LIBOR plus 2.3 right now. So, we are subject to some interest rate fluctuations there.
Kyle Joseph: Got it. That's very helpful. Thanks very much for answering my questions.
Jeff Williams: Thank you, Kyle.
Operator: Thank you. And our next question comes from the line of Hugh Miller with Buckingham. Your line is now open.
Hugh Miller: Hey, good morning. Thanks for taking my questions. Just one -- I appreciate some of the insight you have provided in terms of the same-store sales and obviously the tough comp. I was wondering if you might be able to provide a little insight in terms of what you're seeing so far in the month of May in terms of same-store sales and just the demand that's going on.
Jeff Williams: Well, other than to say that we believe that we're doing all the right things and we believe that we have a lot of room to improve the store economics through higher productivity. That doesn't happen every quarter. As we're growing at the rate we are and investing in different areas, as we've been and will continue to do, it's not going to be a straight line. But over time, we do feel like we will continue to see productivity improvements in our dealerships and so far the beginning weeks of this fiscal year had been pretty solid and wouldn't -- we would certainly think that we're going to continue to grow going forward.
Hugh Miller: Okay, that's helpful. And then obviously you mentioned early days in terms of the online credit app and the digital inventory, but as we head into 2020 for the fiscal year, are there any other initiatives that you guys are considering in order to -- as a means to drive market share gains?
Jeff Williams: No. I would say that it's really focused around the customer experience. If it's a digital touch point, we want that to be a great customer experience. If it's a touch point after the sale, then that's going to be great and our customers really rely on us to keep them on the road and getting to work in other places they need to go. So we're a real key component of their -- the quality of their lives and us focusing on customer experience and keeping cars on the road and keeping these customers happy and making sure they don't have to worry about transportation. That's our real focus. We have a new position in the company, Director of Customer Experience. And she's out there getting after it and we think we're going to see some big benefits by really focusing on the customer experience. The last two or three years, we've been more internal focused on key metrics and key processes and really trying to get our house in order internally. And now we're looking outward to a customer experience and we think that has a lot of legs and a lot of upsides for our business and what we do out there in our communities every day.
Hugh Miller: And are there any kind of -- is there any initial feedback that you're hearing in terms of the customer experience where there's maybe some lower hanging fruit that you guys can improve upon the process? Anything initial that you're seeing?
Jeff Williams: Yes. Anything that keeps a customer on the road keeps that car on the road, the communication channels are open. We're getting better with communicating. And we're getting some real good data on the areas we need to focus on to improve that customer experience. And we will invest in those areas.
Hugh Miller: Okay. That's helpful. And then in terms of the Chattanooga dealership that you mentioned in the press release, if you could just provide a little bit of insight in terms of what some of the challenges that you were seeing there and how we should think about just in terms of the cost drag for the company ahead of that dealership opening. I mean, is it expected that at some point it may open? Or what is the thought process now?
Jeff Williams: Yes. We're still very interested in the Chattanooga market. And I would think that we will have a location there at some point. This particular location had some issues with the floodplain and there was some city and state and federal regulations that kind of got a little mixed up. So we've had to back up and see if we can work something out for that location. But we don't have a lot of money tied up in that. So it's not like there is a cost drag with that particular dealership. And we do expect to be in the Chattanooga market at some point whether it's that location or another location.
Hugh Miller: Thank you, very much.
Jeff Williams: Thank you.
Operator: [Operator Instructions] And I'm not showing any further questions at this time. I would now like to hand the call back over to Jeff Williams for any closing remarks.
Jeff Williams: Okay. Well thank you once again for your interest. Thank you for your participating on the call this morning. And once again, just like to say thanks to all of our associates for their hard work and dedication in this effort. We've got a great company and once again, we believe we're just getting started. So thank you and have a great day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program and you may all disconnect. Everyone have a wonderful day.